Presentation:
Operator: Good morning. My name is Nicole and I will be your conference operator today. At this time I would like to welcome everyone to the America Movil Conference Call, First Quarter 2006. (Operator Instructions) Thank you. Mr. Campbell you may begin your conference.
Andy Campbell: Yes, thank you. This is Andy Campbell, I am the Latin America Telecom and Media Analyst for Credit Suisse and it is our pleasure to be hosting America Movil's First Quarter 2006 Conference Call. We have on the line with us today from Mexico City, Daniel Hajj, CEO; Carlos Garcia Moreno Elizondo, CFO and Paulina Amieva; Head of Investor Relations. At this point I would like to hand over to Daniel to get the call underway. Thanks Daniel.
Daniel Hajj Aboumrad: Thanks Andy. Thanks for hosting the call and good morning, everybody. As always, I am going to pass to Carlos. Carlos is going to make a small summary of the results of America Movil for this quarter.
Carlos Garcia Moreno Elizondo: Thank you Andy. Good morning, everyone. We had a good quarter, again this first quarter 2006. We ended up topping 100 million subscribers at the end of March. We ended up the month with about 100.6 million subscribers which was an important benchmark to the Company. This number came after net additions of 7.3m subscribers in the first quarter of the year. This made it the best first quarter that the Company has had. In fact, net additions in 2006 first quarter, were 40% higher than what we have seen a year ago. The number for net additions was almost 50% higher than the median of the numbers that we have received from various analysts. Business revenues were MXN33.3 billion, they were up 44.6% quarter-over-quarter and nearly 30% year-over-year. The service revenues, we think, were basically in line with consensus. Total revenues of MXN50.7 billion were up 26.4% year-over-year. They were slightly below consensus, 4.1% below consensus and it seems that it is essentially from lower equipment revenues than the analysts had expected. I think that this has to do with a reduction in the average price of handsets that the Company is selling and again we can deal with that in a little while. In spite of the significant subscriber growth there was a considerable expansion in the EBITDA margins. EBITDA margins in fact went up 3.7 points relative to a year before and they finished at 36.4%, significantly higher than consensus; that is 3.3 points higher margin than the consensus estimate. The total EBITDA of the Company was MXN18.4 billion, was up over 41% year-over-year and it means that it was 5.1% higher than the median number of the consensus. So I think an important highlight here is that we managed to deliver nearly 50% more subscribers, subscriber additions than the consensus was expecting. In spite of this, we still managed to increase EBITDA to a number that was higher than the consensus estimate. As I said before, the EBITDA margin was considerably higher than what the market was expecting. In non-operating numbers I think FX gains were important, the net effect almost MXN1 billion and we continued to generate a net profit that more than doubled since previous years. It was nearly MXN10 billion, MXN9.5 billion. So the margin expansion that we have seen has translated into considerable increase in cash flow. In cash flow the Company has been very strong and that is why in this first quarter we managed to cover, with our own cash, all of our CapEx which was MXN6.5 billion. We managed to fund the share buyback and dividends which amounted to MXN2.3 billion. On top of that, we managed to have a reduction in our net debt position of MXN5.7 billion. This number includes FX gains. A good quarter, still in terms of subscriber growth. Much better subscriber growth than expected. We had better than expected EBITDA numbers and very strong, very strong cash flow. I think that one thing that is important to highlight also is that these numbers that we have shown do not really reflect any extraordinary issues, in any one of the operations. I think that this quarter is really very much exempt from any kind of extraordinary one-time items. So this is very much a result of the regular operation of the Company. So I would say, Andy, that these are the main points that we wanted to highlight and I would like to pass it back on to you so that we can start the question-and-answer session.
Andy Campbell: Okay. Thank you very much Carlos. I would just like to jump in for a little more detail, if we could, on the margin particularly in Mexico. You obviously saw very strong sequential increase. If you could just give a little bit of color in terms of a little bit more of what's driving that and what's your expectation going forward? You mentioned that there were no one-off items so presumably this is sustainable. Does this change at all the way you see the medium-term outlook for margins and where you believe margins can go over say a 12 or 18-month period?
Carlos Garcia Moreno Elizondo: Well in Mexico particularly what we saw this quarter was a more rational environment in terms of the competition. So we have a more rational competition. We finished Christmas and then in this quarter promotions were not so high, so aggressive. On the other side we have been doing excellent work in cost control. So those are the two main reasons why in Mexico -- plus that we are still growing fast in revenues, growing fast in subscribers. Plus the cost control that we are having, that's what is driving the EBITDA margins to 50%.
Daniel Hajj Aboumrad: What is important is that margins are increasing practically across the board in all the operations. Let me put it in perspective. In Mexico, compared to a year before, the increase in the margins had been 8 points. In Argentina or Uruguay or Paraguay, the increase in margin was 11 points. In Brazil the increase in margin was nearly 10 points, 9 points. In Columbia the increase in margin was 5 points, closer to 6 points. So what we are seeing is a phenomenon that is really showing in practically all of our operations, and that has to do with the fact that although we are still growing very fast in absolute terms, in relative terms we are growing at a slower pace. That essentially means that the relative cost, the relative effort to the Company of acquiring new subscribers, many new subscribers, has been diminishing. In other words you are seeing subscriber acquisition costs will come down relative to service revenues, and that is something that is helping to drive margin expansion very much across the board. So I think that this is important because we are seeing this not in one operation; we are seeing this practically across the board. The few exceptions, probably the U.S. would be the main one. Exceptions where subscriber growth has actually accelerated relative to where we were last year and typically when you are accelerating subscriber growth you have the opposite phenomenon, you have margins coming down.
Carlos Garcia Moreno Elizondo: It also means that all the new subscribers all around Latin America are good subscribers. It means that they are profitable that they are giving us revenue and that those subscribers are good subscribers, they are not subscribers we are going to cancel immediately. So that we are very happy with that because we are seeing that all the subscribers that we were gaining in November, October, September, December are giving us good profit this quarter.
Andy Campbell: Okay great. Thanks for that additional color. Nicole, can we open it up for the rest of Q&A now, please?
Operator: (Operator Instructions) Your first question comes from Kevin O'Conner with Deutsche Bank.
Kevin O'Conner - Deutsche Bank: I'm just wondering if you can provide us with an update on your full year CapEx guidance, I think you had previously said roughly $3 billion for the full year. Also possibly an update on the forecast in net additions? Again, I think the previous one was 20 million to 22 million for the full year?
Carlos Garcia Moreno Elizondo: In CapEx, we're not changing anything on the CapEx. We are on budget I think we are going to do the $3 billion this year, but still we think it's enough for the year. On the forecast for the subscribers we have been staying around 20 million to 22 million, I think we're moving a little bit from 22 million to 24 million subscribers, this is more or less what we think we are going to have this year.
Kevin O'Conner - Deutsche Bank: Thank you so much.
Operator: Your next question comes from Rodrigo Ortigao with CBVA. Rodrigo, your line is open. The next question comes from [Mauricio] Fernandez with Merrill Lynch.
Mauricio Fernandes - Merrill Lynch: Thank you. Good morning. I have a couple of questions, Daniel and Carlos. First on the ARPU trends, obviously because of the higher net adds and also due to the decline in mobile termination, we saw lower ARPUs for lower than expected revenues for the quarter. What do you see going forward on a consolidated basis? Specifically in Mexico, where do you see ARPU going? Thank you.
Daniel Hajj Aboumrad: In terms of the ARPU I think you are right. The termination rates declined in Mexico in this quarter, declined in other countries during the last year, very strong in Colombia, the last quarter. Strong in Ecuador, the last quarter, I think also in Peru. I think that is why you saw a little bit decline on the ARPU. Then also remember that the percentage of subscribers, on pre-paid subscribers are higher than on post-paid subscribers so that's why also the blended ARPU is going down because the pre-paid subscribers usually have lower ARPU than post-paid subscribers so that's why the blended goes a little bit down. Termination rates in Mexico were 10% this year. I think last year we increased 8% our minutes of use, so we recover almost everything that's why the increase in this year, we are going to have more or less the same trends that we saw last year. That's mainly the reason why ARPUs are declining a little bit. I don't think we have anything extraordinary about that. Also we are growing -- very important -- we are growing 7.8% in the quarter in terms of subscribers and 4.6% in service revenues. So we still we have a lot of subscribers this quarter that are going to start using more the service as time passes, so that's also the reason why. But you could see that what Carlos is saying, still overall service revenue grew 29% that is extraordinary for America Movil. The revenue that doesn't grow too much, that it's good for us is the handset revenue, but service revenue is still growing very fast.
Mauricio Fernandes - Merrill Lynch: Okay, just one more question on the EBITDA margin guidance for the year and if you could comment on your ability to reach 15% margin in Brazil. You were previously saying that you expect the margin in Brazil to increase by 10 percentage points from the negative 3 reported in 2005. So I just wanted to know if your expectation for EBITDA continues to be the same and what is your expectation for America Movil on a consolidated basis for the year?
Daniel Hajj Aboumrad: I think I'm still saying 10% average in Brazil because first quarter it's not so strong in Brazil. The two quarters that are very strong in Brazil are the second quarter because Mother's Day and the fourth quarter, Christmas. So I think we're going to grow more in the second and in the fourth quarter than we grew this quarter. So on average I think that 10% for all the year is our forecast and we feel that we are going to do that forecast. We don't feel that we're going to grow more. Still we have two big quarters. Second, in Brazil that we were doing a lot of investment for long-term investments in distributors, in the brand, in a lot of other things. They are working, those things that we do. So that's mainly why you saw good improvement in EBITDA in Brazil. I am very comfortable in Brazil and I am still very comfortable for the rest of the year. It depends a lot on the net adds that we are going to have in the next quarters. But I'm feeling very comfortable having 10% EBITDA margin, average, during the year in Brazil. In Mexico, as I told you, cost control is important. The environment in Mexico it's less aggressive than in the fourth quarter and Mexico is a huge country. So if you control costs and increase revenue gives you good EBITDA, so that's mainly what you are seeing here.
Mauricio Fernandes - Merrill Lynch: If you could fill us in on the ability to raise margins in Brazil, do you think that you expect to see any consolidation in the market, reducing the number of players? Do you need to see that happening or the number of players currently in the market is fine, from an investment standpoint for you?
Daniel Hajj Aboumrad: Could you repeat it because I didn't hear you.
Mauricio Fernandes - Merrill Lynch: Given that you're confident on the ability to continue to raise margins going forward in Brazil -- not necessarily in the next quarter, but the next couple of years -- do you think that you need to see consolidation in the market with a reduction in the number of players or you are satisfied with the current structure of the market?
Daniel Hajj Aboumrad: I don't see a lot of consolidation, maybe we're going to see a little bit of consolidation in Brazil. Today there are five players: Telefonica [Team] Telmar, [Plato] and Brazil Telecom. Maybe there is going to be consolidation to four instead of five. But without the consolidation I am comfortable that in the next years we can reach 30% EBITDA margin in Brazil. As when we're going to have 25 million or 30 million subscribers then I am being comfortable that we can reach 30% EBITDA margin with or without any consolidation in Brazil.
Mauricio Fernandes - Merrill Lynch: Okay. Thank you very much Daniel.
Daniel Hajj Aboumrad: Thank you.
Operator: Your next question comes from Martin [Mara] with Santander.
Martin Mara - Santander: Good morning. What was your subscriber acquisition cost in the first quarter of '06 and in first quarter '05?
Carlos Garcia Moreno Elizondo: We normally do not disclose the subscriber acquisition cost, Martin.
Martin Mara - Santander: Okay. Another question, in your press release you are talking about the operating efficiencies in Brazil. Could you please give us more detailed information about this?
Daniel Hajj Aboumrad: Well what we have in Brazil is we used to have a lot of brands, we are consolidating one brand, it's giving us good results. We had less dealers; we are having more dealers and more distribution today and our costs of distribution is better. We have two or three new greenfield operations. Today the greenfield operations grow and they are more profitable or they are not losing money. We only have [inaudible] today. We didn't have enough coverage, we have a lot of coverage today. So there is a lot of things that we did, the last two or three years, by consolidating billing systems, consolidating call centers. So there is a lot of things that we did the last two or three years that are giving us results this year. They are going to give us better results in the next year. We are working for the next 10 years, 15 years in Brazil we don't work for one or the next year. So that's why we did a lot of things and today they are giving the results that we expect to have. That's why we are always being happy with all the investments that we do in Brazil. We already integrated all the operations in Brazil so also give us a lot of cost savings. So there is a lot of things that we did in the last three years that help us to have these results. And we have a lot of things to do. We are not finished, so still we have a lot of things to do to get to this 30% EBITDA margin that we expect in the next three years.
Martin Mara - Santander: Thank you. I have another question. Your service revenue increased 29% in returns in the first quarter, on a consolidated basis I'm talking about. But your equipment sales were up only 13%. What was the reason for the slowdown in equipment sales?
Daniel Hajj Aboumrad: The reason is because the average price of handsets are going down. Another important reason is that media handsets are doing more things than what they used to do. Media handsets they have camera, they have music, they have a lot of things. So we're selling very good handsets at the lower prices, so that's the reason why we have a reduction, that we don't grow as much service revenue as handset revenue because we're selling very good handsets at lower prices. That's really the reason.
Martin Mara - Santander: Thank you very much.
Operator: Your next question comes from Patrick Grenham with Citigroup.
Patrick Grenham - Citigroup: Good morning. Can I just ask a couple of questions on the current termination rates in Mexico and on the Brazilian business? First of all, on the termination rates, is it likely we will see more reductions in termination rates later in the year with the introduction of nationwide calling party pays? How do you see that whole thing playing out over the next six months or so? Secondly, in Brazil, what do you think of [Ole] for instance, deciding to just sell SIM cards and be aggressive on the sale of SIM cards, is that a competitive threat for you that would reduce prices, or do you think you can still keep the MOUs going up? Is there an issue around that?
Daniel Hajj Aboumrad: Well the first question, in Mexico is the termination rates. You know that in the local calling party pays we will reduce another 10% this year. There is a law that says that in six months we are going to have international and national calling party pays which start early discussions with all the other companies. I don't know exactly today what’s going to be the result and the rates for that. But I am sure that national and international calling party pays is going to be good for mobile companies. We are going to have international and national calling party pays. I think there it is going to increase traffic between mobile companies and through mobile companies. So I am happy. We don't have any numbers today, it's early in the discussions, but I think it's going to be good for Movile. In Brazil about Ole and the SIM cards. Well, you -- it's not only Ole in Brazil it's Ole in Brazil and other companies in other places that they are selling SIM cards. The interesting thing here is to see if they are going to be good customers or they are not going to be good customers. So there is a threat, all new marketing, all new things in selling and marketing are threats for us. But we are happy how they develop. Ole starts in December and I think we are doing good in Brazil. In other countries like Colombia, Ecuador, our competitors are doing that and we feel that they are not so good customers Patrick. In some places we are doing that with a lot of measuring all the subscribers, checking that they are consuming air time and being very careful doing that. So it's a good way to acquire customers if you do it in the right way, and yes, if you are only selling SIM cards to the market then you are going to have lower prices. So it's the way we saw that.
Patrick Grenham - Citigroup: Right. And your pricing seems to be aggressive in Brazil going into the second quarter. Do we think we're going to see a second quarter in Brazil like we saw second quarter last year? Or do you think overall sales will be a bit slower than last year?
Daniel Hajj Aboumrad: Well I think in Brazil, everything is changed today, Patrick. Very difficult for me to -- it’s still early to see what is going to happen in Mothers Day. Until today, May has been a little bit more competitive than January, February and March, but still not as competitive as May of last year. There is still 10 days or more days for Mother's Day and every day passes things are going to get more competitive. So I don’t really know what is going to be the level of competition that we are going to have through May.
Patrick Grenham - Citigroup: Okay great. Thank you.
Daniel Hajj Aboumrad: Thank you, Patrick.
Operator: Your next question comes from Dan Kwiatkowski with Schroders.
Dan Kwiatkowski - Schroders: Good morning. A couple of questions. On Brazil it looks like your minutes of use in the quarter really collapsed versus the fourth quarter and also versus the prior year. Can you explain that to me, is that just seasonal?
Carlos Garcia Moreno Elizondo: In the minutes of use in Brazil?
Dan Kwiatkowski - Schroder: Yes. They went down to 68 from 74 the quarter before and from 86 the year before.
Daniel Hajj Aboumrad: I think it's seasonal. In December you have much more traffic than what you have on January, February and March. So fourth quarter has more traffic than what you have in the first quarter of the year so I think it's seasonal.
Dan Kwiatkowski - Schroder: Okay. So you expect that to pick up as you go through the year?
Daniel Hajj Aboumrad: Yes. And for the rest of the year I think it's going to be stable, the mobile in Brazil. I don't think that we're going to decrease more. I think it's going to be stable.
Dan Kwiatkowski - Schroder: Okay, great. Second question is on the U.S. Can you talk about the evolution of the pre-paid market there? Where and when do you see your margins stabilizing? The third question on that is, do you see yourself as a long-term player in the U.S?
Daniel Hajj Aboumrad: Well in the United States I think we are looking more for subscriber growth than for EBITDA. I think there is still a good opportunity in U.S, long term for the pre-paid subscribers. U.S. has 17% penetration, in countries like Argentina we have more than 50%. In Chile we have 70% penetration. So I think the U.S. has a lot of room to grow in the pre-paid business and we are going to take advantage of that. The EBITDA, well you see EBITDA even in this quarter because we grow 70% more net additions than what we had in the first quarter of last year. So that is really the reason why. I think we are very happy the way we develop. And net additions also, the shipments that we are having to all of the retailers have been huge. So we are selling a lot of handsets to the retailers and having more than 70% of net additions, the shipments are more than at 70%. So that's really the reason why we have no EBITDA. The strategy is to grow and to have more subscribers than to have better EBITDA. We want to take advantage of the pre-paid market in the U.S.
Dan Kwiatkowski - Schroder: Do you see yourself a long term player in the U.S. or you think there are other strategic options?
Daniel Hajj Aboumrad: Well, we want to be an important pre-paid player in the U.S. and if there is new things coming, and to do something with another company we are happy to review it and happy to see that. But you know, still today we want to grow and to increase the market share in the U.S.
Dan Kwiatkowski - Schroder: Thanks very much.
Operator: Your next question comes from Rizwan Ali with Bear Stearns.
Rizwan Ali - Bear Stearns: My question is regarding push-to-talk technology. I think it was last year in Mexico you had about 300,000 subscribers. Could you update us on how many subscribers you have now? Also how are the push-to-talk adoption going in Brazil and elsewhere in the region?
Daniel Hajj Aboumrad: Hello Rizwan, hello. I don't think we said 300,000 subscribers last year. I think last year we had around 180,000 subscribers. I think today we have around 220,000 or something like that because we stop a little bit the sale of the push-to-talk until we arranged all the networks with the new product. We have to give good quality. We wait a little bit for the Edge handsets that are giving us better quality. So that's why we reduce a little bit our sales. We're starting to sell a lot more handsets this quarter than what we used to do the last two or three quarters. We already fixed the network for quality. It's a new product and we have already the Edge handsets that are giving us much better quality. That is what we are doing and we are starting to grow again in push-to-talk service. In Brazil I don't know, I don't have the number, but if you call Paulina -- it's not important, but if you want to talk to Paulina she can give you the number of push-to-talk subscribers that we have in Brazil.
Rizwan Ali - Bear Stearns: In Mexico, have you resolved your regulatory problems in regards to the push-to-talk?
Daniel Hajj Aboumrad: The what? You know, I don't think we have any regulatory problems in Mexico. Our concessions give us the authority to sell push-to-talk so we don't have any problems on selling. Regulatory issues, I don’t feel we have any problems on selling push-to-talk.
Rizwan Ali - Bear Stearns: Thank you very much.
Operator: Your next question comes from Henry Cobbe with Thames River Capital.
Henry Cobbe - Thames River Capital (UK) Limited: Hi there. Thanks very much for the call. Just a few questions. First of all just on the equipment costs. It seems like your equipment cost is coming down for each gross addition. Is that going to continue? Do you expect to be able to continue procuring handsets at an average price of around $70, $80 on average? The second question is, it looks like in Brazil that most of the subscriber additions are now post-paid, about half came from post-paid. Is that going to be your focus from now on or do you see the market going back to a predominantly pre-paid gross the rest of the year? The third question is on Colombia. Where is penetration at the moment this quarter? And where you see it peaking? And lastly, just on the U.S. just perhaps give us or describe your target for this year because it seems to be growing at a much faster rate than last year?
Daniel Hajj Aboumrad: Question by question, the first one is in Mexico about --?
Henry Cobbe - Thames River Capital (UK) Limited: Target share and equipment prices.
Daniel Hajj Aboumrad: Equipment prices, well what I see is that in the last three years equipment prices were -- well the last year we reduce it to around it 10% to 15% the prices of the equipment. But that's not really the important issue. The important issue is that the medium segment of the handsets are having much more things to do, more service, value-added services: music, ring tones, photos, cameras, so people just are starting to buy more medium segment phones than higher segment phones and that gives us a good reduction on the average prices of the handsets. You're going to see that in the future. You're going to see better handsets at lower prices. I think that's what all the suppliers are trying to do and I don't know exactly how much and what's the time that they are going to do it but we are going to see reductions during this year and the next years on that. In Colombia, the penetration is around 55% today, and what we're talking is that we're going to get from 65% to 70% average Latin America in the next year. I am comfortable that Colombia is one of the countries that it's going to reach 70% faster than other countries, okay? But America Movil forecast it's around 65% to 70% average Latin America. I don't know exactly it's going to be in two years, three years, one year-and-a-half. It depends a lot on the markets but we're going to reach 70% penetration in the future. What was your question on Brazil?
Henry Cobbe - Thames River Capital (UK) Limited: It was just the question was on Brazil. It was just on the higher share of post-paid additions in the prior quarter and whether that's going to be change in strategy, whether you're going to be really taking the post-paid subscribers from now on?
Daniel Hajj Aboumrad: And in the U.S.A. what's your question also?
Henry Cobbe - Thames River Capital (UK) Limited: Just on the subscriber target for the end of this year. You had a long-term goal of 10 million subs but it looks like the growth rates are due to overtake that quite quickly.
Daniel Hajj Aboumrad: On Brazil , we are doing very good on post-paid. We are reinforcing our sales in the post-paid market. I think we are doing excellent there. The other reason why we're growing a lot more in post-paid and in pre-paid in percentage is because the two big acquirers for the pre-paid is Mothers Day -- there's a lot of sales on pre-paid, and Christmas there is also a lot of sales on the pre-paid side. So I think you're going to see a little bit on the change in the second quarter and on the fourth quarter, but overall we are trying to do a big effort signing post-paid subscribers and I think we're going to do very good in that segment of the market. In the U.S., our target is to get to 10 million subscribers. This first quarter, we have been doing 780,000 subscribers. I think for the rest of the year, the budget is to do one-and-a-half, so I think we could do a little bit more than that forecast that we have.
Henry Cobbe - Thames River Capital (UK) Limited: So just one last follow-up question, again on the equipment cost. You have given a target number of net adds of 22 million to 24 million for the group. Related to that, what do you think the total spend will be on equipment in millions of pesos?
Daniel Hajj Aboumrad: For moving from 20 million to 22 million, 22 million to 24 million, I do not have the number exactly on what it is going to cost me on subsidies for growing this quantity of subscribers. I don't have that number right now.
Henry Cobbe - Thames River Capital (UK) Limited: No, not on subsidies, but just in handset purchases.
Daniel Hajj Aboumrad: Handsets, it's 2 million plus the churn -- I don't know. I don't know what our average handset. We don't disclose that number, but I don't know exactly what's going to be more on the purchase.
Henry Cobbe - Thames River Capital (UK) Limited: Okay.
Daniel Hajj Aboumrad: I think for this year we're going to buy around 50 million handsets all over the year.
Henry Cobbe - Thames River Capital (UK) Limited: Do you expense them as you buy them or do you only expense them as you sell them?
Daniel Hajj Aboumrad: What's the question?
Henry Cobbe - Thames River Capital (UK) Limited: The handset purchases, do you only expense them as you sell them or do you expense them as you buy them?
Daniel Hajj Aboumrad: No, in the U.S., as we ship them, we put the cost there. In Mexico, as we ship them, as we sell them, we also put the cost.
Henry Cobbe - Thames River Capital (UK) Limited: Okay.
Daniel Hajj Aboumrad: When we ship, we sell to the dealer is when we account that. It's the question, no?
Henry Cobbe - Thames River Capital (UK) Limited: Yes, yes it is. Thank you very much indeed.
Daniel Hajj Aboumrad: Thank you.
Operator: Your next question comes from Patrick O'Brien with Investment Management.
Patrick O'Brien - Alex Brown Investment Management: Thank you, my question was already answered.
Operator: Your next question comes from James Breen with Thomas Weisel.
James Breen - Thomas Weisel Partners: Good morning, gentlemen. A couple of questions. One, with the recent acquisitions of Verizon assets, what are your plans to do with the CDMA networks in those assets? Also, with the wireline portion, are the wireline parts of those purchases going to go to TelMex? Secondly, some of the recent debt you've issued, 2 billion plus, what are the plans for that? Is that to fund the current CapEx of 3 billion this year? Or are you going to leave some of it aside for potential acquisitions? Thanks.
Daniel Hajj Aboumrad: On the Verizon purchase, we at America Movil are going to stay with the Dominican Republic and with Puerto Rico and with half of the 28.5% of Venezuela. So the Dominican Republic and Puerto Rico are more or less the same strategy that we are following in Central America to have full services -- wireline and wireless. So we're going to stay with the wireless and with the wireline. Changing from CDMA to GSM, I think the decision is going to be made when we acquire the company. I think the decision is going to be to change to GSM, but we still need to grow the company and to check the frequencies, the spectrum and everything. Then we are going to make the decision as to what we are going to do in terms of changing CDMA or staying in CDMA in Puerto Rico and in the Dominican Republic. In Venezuela where we have a partner, that is TelMex, we have to have the discussions with them. When we are going to close the companies, I think the companies are being closed. Dominican Republic is going to close soon, maybe during the month of May or the beginning of June. Puerto Rico is going to take us a little bit more time -- maybe at the end of the year. In Venezuela, all the documentation is already done so we are waiting for the authority’s authorization, and we don't know if it's going to take us six months or three months. That's really what we are expecting in these companies.
Carlos Garcia Moreno Elizondo: In terms of the loan, essentially what we will do is that we will be paying off all the amortizations that we have coming this year and part of next year, so it's really essentially refinanced debt. Effectively, all of the acquisitions that we are going to be completing in the next few months will be funded from the company, from cash.
James Breen - Thomas Weisel Partners: Then finally one general question on Mexico, because you will not have your call until after the election. It appears now that the candidates are all pretty close in terms of who was leading before. What's your feeling on that and the potential impact to the business depending on who wins? Thanks.
Carlos Garcia Moreno Elizondo: I think the company is not expecting any change in the environment in which it operates, irrespective of who wins the elections.
James Breen - Thomas Weisel Partners: Great, thank you very much.
Carlos Garcia Moreno Elizondo: Thank you.
Operator: Your next question comes from Allen Gillespie with Goldman Sachs.
Allen Gillespie - Goldman Sachs: Actually, my questions have been answered, thank you.
Operator: Your next question comes from Michael Rogers with Conning Asset Management.
Michael Rogers - Conning Asset Management: Yes, good morning. Could you please provide an update as to your discussions with the bond rating agencies in the wake of the transactions with Verizon? Is being a low single A at Moody's -- I guess Moody's is now at A3 with a watch negative here -- is that an important rating to you? Do you wish to maintain that low single A, or would you be willing to let that slip if the right opportunity did indeed come along?
Carlos Garcia Moreno Elizondo: We have had extensive conversations with the rating agencies. We do that on a continuous basis, so it's not dependent on a given transaction. As you know, in connection with the acquisition that we have announced, both [FNC] and [Pitch] have already the excellent rating. In the case of Moody's, they have put it under review, so they haven't come out with a negative outlook, but they are reviewing it and this is something that is normal, that they specifically do before coming out with an even -- we have to measure the [ruling change]. In this respect, I think the company has always thought it an important thing to maintain its credit ratings. In the past, we have engaged in acquisitions that may have increased our leverage significantly [clear to] the starting point that we have, but the rating agencies understood that this was something temporary and that the leverage was going to be coming down quickly. The few times that this has happened, we delivered on the very quick reduction of leverage, and that's what let the rating agencies know that we have a credibility with them. We have always managed to come down to our prepared leverage position, which is close to one-times net debt to EBITDA.
Michael Rogers - Cunningham Asset Management: Okay, so it sounds like, from a business perspective, overall financial flexibility, the low A or high BBB rating is important to you, and it sounds like that's always part of the equation when you're making acquisitions.
Carlos Garcia Moreno Elizondo: We think the financial strength of the company is an asset we intend to maintain.
Michael Rogers - Cunningham Asset Management: Thanks very much.
Carlos Garcia Moreno Elizondo: Thank you.
Operator: Your next question comes from Scott Shiffman with Lehman Brothers.
Scott Shiffman - Lehman Brothers: Can you just clarify -- one of the prior questions on your financing strategy related to the Verizon transactions, were your comments that you plan to finance the transactions through cash? Did that consider the minority buy-ins as well? A related question, would you consider coming to the U.S. dollar debt markets to raise capital for these transactions? Thank you.
Carlos Garcia Moreno Elizondo: I think the amount that we would intend to be using from our capital would be sufficient probably, not only for repayment to the directors but also to the minority investors. I think we are always open to looking at the various capital markets in the U.S. and other countries, and even Latin America to take advantage of what may be advantageous insurance conditions. We are always open to that, but we are not in need at this point of raising any more funds.
Scott Shiffman - Lehman Brothers: Thank you, very much.
Carlos Garcia Moreno Elizondo: Thank you.
Operator: Your next question comes from Pedro Gonzalez with UBS.
Pedro Gonzalez - UBS: Good morning, a couple of quick questions. First, are you also pushing to move more aggressively into SIM card sales only, or what is your view on that business? The second question is regarding the termination rate decreases in Colombia, in Peru and I think in Ecuador -- are the scheduled rate decreases over, or do you expect something more on the horizon within this year?
Daniel Hajj Aboumrad: On the SIM cards issue, I think that's not our main way to distribute the handset. It's not the main distribution that we have. We have a little bit on that. We don't feel they are the best customers, the ones that you get with the SIM card. We are doing that in a small percentage of our sales and taking care, as I told you a little bit before, of the subscribers, checking that they have consumption and checking that they are real subscribers. So we are doing that in a small percentage of our sales, being very careful, is what I can tell you about that. I don't think those are the best customers that you are going to get in the market. The second question was the interconnection rates in Peru and Colombia and Ecuador -- yes, I feel they have a huge discount last year. I don't think we're going to have big reductions in the next years, no. Maybe we have small reductions, but we don't have big reductions in the next years.
Pedro Gonzalez - UBS: Great, thank you.
Operator: Your next question comes from Daniel Guevara with Morgan Stanley.
Daniel Guevara - Morgan Stanley: My question was answered. Thank you very much.
Operator: Your next question comes from [Sumit Desai] with CFB.
Sumit Desai - CFB: Could you comment on your interest in some of the emerging markets where [SMNA] that is taking place? Thank you.
Daniel Hajj Aboumrad: Which one? I think the interest in America Movil is still in the countries in Latin America where we don't have operations. It's in the Caribbean. It's in Bolivia, in Panama -- that's more or less what we think we could be, but I don't think that our interest is to get out of Latin America today.
Sumit Desai - CFB: Yesterday we had a transaction where Investcom was bought by MTN in Africa, and Millicom is being auctioned. Could you comment on your interest in either of those two?
Daniel Hajj Aboumrad: I think we are not interested in Millicom and we are not interested in Investcom in Africa. Millicom, they have some assets in Latin America, some assets I think in Asia and Africa. We feel we are not interested in acquiring Millicom.
Sumit Desai - CFB: Okay, thank you.
Operator: Our final question comes from Charles Chichester with Cazenove.
Charles Chichester - Cazenove: I've just got a quick question, follow-up really from one of the earlier ones in terms of your margins in Brazil and the subscriber growth. As you look at subscriber growth in the first three months of this year, I think it's tighter than it was in the first three months of last year, and I think probably the market was a little bit surprised by that. I was just wondering if you could tell us what you think in terms -- I know you've said for the second quarter, but in terms of what you think for the rest of 2006, whether you actually think it's going to continue at that rate, or whether you originally anticipated it being slower? Because I think the market is sort of expecting lower absolute adds in 2006 than in 2005. If you do think it's going to carry on at this rate, and you are going to participate, continuing to take the market share that you have been to date over the last few quarters, does that in any way threaten your full-year EBITDA margins? Thanks.
Daniel Hajj Aboumrad: Well, the first quarter of last year against the first quarter of this year, it's more or less the same. We have 635,000 subscribers in 2005, and we have 787,000 subscribers in this year, so we have a little bit more this year than last year. The only thing that I want to comment is that it depends a lot on the aggressiveness of our competitors. We're interested in gaining or maintaining our market share. Market share is important, but also the size of the company is important. Market share is important when you are in a country of 10 million subscribers, 10 million people, 50 million people, but when you are in Brazil, I think there's room for everybody. What we look at is more for the size of the company than for the market share of the company. We are looking to be a company of 25 million, 30 million subscribers. I think we're going to get there, and when we get there, then you're going to see good margins for the Brazilian market. It's more or less the thinking that we're adding on Brazil. It's not more to be the second player or the third player or to have 22% market share or 26% market share. I prefer to have 20% market share with 30 million subscribers than to have 26% market share with 22 million subscribers or 20 million subscribers. We're looking more for the size of the company than for the market share of the company. With that type of a company, price is very important. Your costs would be on the level that you can have very good EBITDA margins, margins of EBITDA.
Charles Chichester - Cazenove: Okay, thanks very much.
Daniel Hajj Aboumrad: Thank you very much for participating in the call. Thank you, Andy, for hosting it, and for any further questions, please I will give to Paulina now to mark off. Thank you very much.
Andy Campbell: On behalf of Credit Suisse, I'd just like to thank Daniel, Carlos and Paulina, and thanks everybody, for participating today. Have a good day.
Daniel Hajj Aboumrad: Thank you.
Operator: This concludes today's conference call. You may now disconnect.